Mei Peng Ho: Good morning, ladies and gentlemen. A very warm welcome to all of you who are joining us via the live webcast of CapitaLand Integrated Commercial Trust or CICT Results briefing today. I'm Mei Peng, the Head of Investor Relations for CICT, and we are pleased to have the management of CICT to share our First Half 2021 results. We will have a results presentation by CICT's CEO, Tony, followed by a question-and-answer session with the CICT management team. I'm pleased to now invite Mr. Tony Tan, CEO of the CICT manager, to share with us the details about CICT's performance. Tony, please.
Tee Hieong Tan: Good morning, everyone. Thank you for joining us this morning for the result brief. I hope you enjoyed the video scripts that we just now played prior to this presentation, give you a little idea of thinking behind how the work in the future look like and how they potentially may transform the workspace. And enhance of potentially how that will look like in the future work space environment.
A - Mei Peng Ho: Thank you, Tony. Before we start now, I would like to introduce the team on a panel with Tony for the question-and-answer session. So we have Ms. Cindy Chew, our Chief Financial Officer, and Ms. Jacqueline Lee, Head of Investment and Portfolio Management. Just some sharing of how we will conduct a Q&A today, we will take questions direct from those of you present on MS Team, as well as those on the webcast.  So may we have the first question, please? Okay, I see David Lum. David Lum has raised your hand. David, please proceed. Ask your question.
David Lum: My question is, what are the trades or retailers that can thrive during a permanent state of endemic? And how you pivot in your loss to capture these tenants?
Tee Hieong Tan: Sorry, David. Can you repeat some part of your question?
David Lum: What are the trades or retailers that you think can do well during a permanent state of endemic? And how are you pivoting your loss to attract these tenant?
Tee Hieong Tan: So I think good question. So naturally as the tenant that are more agile. I think we are live in a world where is no longer just differentiate between online offline? No, I think the tenant who are able to toggle between the two I think will be in the best position to write through in an environment where academic is the norm, right? And also depends on what you define, at the end of the day how the endemic situation looks like? Is it a case of constant start-stop kind of a situation? Or it could be a case where endemic is not a frequent stop? It's just a case of being able to shift some of the operational flexibly between, having a bit more measure in place and less measure in place. So I think those are tenants generically will do well. What kind of trade will do well? I think that will evolve over time. Because the trade that will do well, whether it's endemic or not endemic, it all depends on the different time and the situation. I mean, for instance, we look at the current situation where we have seen a very healthy performance of home furnishing retailer. I mean, they really received a boost. We also seen very healthy performance from --people are very concerned about the health. So they put a lot more emphasis on healthy aspect. It could be as simple as getting a massage chair at home so that, you're spending a lot of time at home. You want to pamper yourself. So those trades are done very well. In fact, they're done better than 2019. But would that continue to be so hard to say? Simulate for home furnishing is a social function of - where the property market cycle will be? Even for FMB, I think FMB Was quite challenged in today's environment, particularly when you have to go to your situation where you cannot allow dying and then you limit the number of people who can actually be accessible to your space. I think those will be quite challenged. But again, I think food is in everyone's heart in mind here. Even the very difficult time we seen - we always seen that evolution in terms of food being provided is a function of the taste. How that evolve as a function of fashion or to a large extent, was fashionable. What people like to eat? Today people are looking at healthy foods. So healthy food section, you have to have change. So you must be able to be agile enough. So for operator, I think it's perhaps, in the long run for any successful operator to be able to write through different situation, whether it's endemic or market cycle or changing consumer tastes, you definitely need to have a portfolio of offerings with a different kind of branding, to position yourself in a market so that you are able to - I wouldn't say pivot, maybe you reweighed your exposure to different offerings at different point in time. So those will be the client operator, I think will probably will do well in the new.
Mei Peng Ho: Thank you, Tony. Now, we will have the next question from Shen  from Goldman. Shen, you can ask a question when you're ready.
Unidentified Analyst: Sure. Hi, morning. I have two questions. Firstly, some retail diversion. When do you expect reversion to normalize for retail?
Tee Hieong Tan: Good question. I can't pinpoint a time. All I can say is that a few things has changed. Of course, now we have the code of conduct that will be in play. In fact, most major then lot will abide by that. And within that there will be a bit of weight guided kind of lease structure. But there are also some flexibility allowed if both parties agreed to do that. So I think it's also a function of the cycle - economic cycle that we're going to right through when the ball is going to reopen. And a lot of us, I think ourselves and perhaps even our other peers will be very flexible in terms of how you look at your fixed component. So I think I mentioned in my early part of presentation, we decided to give you a better picture by looking at the different way of measurement. There's no standard way of measuring reversion. I think historically, we have always been looking at the last outgoing, fixed rent - bear in mind fixed rent versus incoming fixed rent. But, of course, COVID-19 disrupt the entire operational environment. We adopt a little bit more flexible, so tenants find that they are bearing a lot of risks by having a fixed rent pretty high in a small component, GTO rent. So it shifted the balance a little bit so that new allow them that bridging space with the anticipation that hopefully when they trade well. We are all in this together, we are able to ride through. So you look at the reversion number, although it's negative even on an average-to-average basis where we pack in the fixed rent with a bit of escalation at the later part of the lease structure, with some modification or adjustment on the turnover component. If we are able to achieve a very robust tenant sales environment, assuming everything back to normal, the economy is good and everyone feels very good about it. That potentially - on an effective basis, the rent may not be worse off than what you see in the number. Just give a rough sense. I mean, if you will look at - we'll do a simple sensitivity analysis. Although we report that minus 9.1 on fixed in and out but on average 4.5, but negative. If our tenants are able to do so well, improved by 30%-40% or 50% in the term of sales in the new environment, actually we are back to square one for effective rent basis. So I think that's the way to look at it. Reversion number, I wouldn't say - will give you a very true picture of how the outlook will look like from a rent perspective. I would say it's a lagging number. The leading number is really the tenant sales. And we need to see the tenant sales pick up nicely So we continuously agile. I mean today we know that the government's come out to say okay, they will review the situation in early part of August, know exactly what measures they will come to see. I think this that will definitely affect the consumer sentiment and also the retailer sentiment. Do they do they want to lock in now or they do not want to lock in now? And of course, they're not individual situation. Do you want to keep that unit stay vacant while we wait for better time to calm or less locking together a structure where we co-share a little risk? So is the trade-off that I mentioned from the beginning?
Mei Peng Ho: Shen, so you have another question?
Unidentified Analyst: Yeah. Can you clarify on the tenant sales improvement of 30% to 40%? That's based on current level in the state implied 10% to 20% above pre-COVID level?
Tee Hieong Tan: Situation, so I'm talking about only those specific pieces that we locked in, not general. So those that we lock in. So on the back of a current depressed number. So we have some of us a bit more conservative. If you were to say that back to 2019 level, 20%, I think is probably a good rough idea.
Unidentified Analyst: Okay. Can you about a bit more about portfolio reconstitution as well? I assume divesting would be fairly easier than redeployment. So how are you thinking of redeployment in terms of asset class and geography?
Tee Hieong Tan: So I think very good question. And not necessary divestments is the easiest. Of course, we take a very long-term view. And long-term view means we would have to decide which part of the portfolio we think that in the long-term at the right price? We will monetize that. Because I think that there will be potential maybe limitation on where - how far I can go vis-à-vis where the opportunity may arise. So I think that's going to be a constant at the back of the mind, while we look at a short medium term. Now, we talked about portfolio reconstitution. Constantly, there will be at a bear on mind, going forward in the next five years. Timing is another thing. We want to do at the right timing. Some I would say a little bit low hanging fruit, but may not be the right timing. I think we can be little bit patient. In terms of where we want to redeploy. Obviously, Singapore will be the ideal market, I think Singapore is still be going to be the core. Whether it's within our sponsor pipeline or outside of sponsor pipeline. I think Singapore actually is still going to be our home. And it will be for foreseeable future substantial part of our portfolio construct. Obviously, we know COVID-19 also affect a large part of the world, and extent may be different. And then the after effect of COVID may be also uneven in different part of the world. So we stay very on the ground now. I'm talking about outside Singapore and look at where there will be opportunity to do that, bear in mind hopefully, we are able to do a decent kind of U-uplift from that whole exercise. Where we are looking at? I think the market that we've been observing closely are the few core market. In terms of developed market, whether it's in Australia, in Germany, UK. So we stay quite underground. And I wouldn't want to pinpoint a specific area at this point in time, but certainly are all these markets, we are watching closely. And we have guys on the ground that are scouting for deals.
Mei Peng Ho: Yes. Rachel, you want to ask your question?
Unidentified Analyst: Hi, good morning, Tony and team. Thanks for the call. Few question for me. Just on the retail side if I looked at your chart correctly, my eyes scan, it seems like the Phase 2 or the second half of second quarter seems to be dipping down a little bit in terms of performance versus last year's Phase 2. I'm just wondering how strong do think recovery can be compared to what we saw a pent up demand real home at the end of last year versus this year, given that we didn't really go down into a bit closure of the retails, compulsively think about your rental rebate, regularly.  or could it be higher than that?
Tee Hieong Tan: You're referring to this?
Mei Peng Ho: Is it the tenant sales and shopper traffic chart, like?
Tee Hieong Tan: Is this the one you're saying, this one?
Unidentified Analyst: Yes.
Tee Hieong Tan: Actually, Rachel, earlier I mentioned that in first quarter we're trending up quite nicely on year-on-year. In fact suburban mall is doing quite well versus 2019 in fact. All the way until April, the suburban mall will be tracking ahead of 2019 as a whole overall. Of course, it's uneven. I mean, some done much better than others. Downtown mall still a little bit of luck. But the May-June is certainly having an impact on retail number. As you can appreciate it's been not easy without having the dining in, the crop literate window. In fact, the trend we're seeing on the very first heightened alert. The moment we entered the heightened alert traffic down by easily more than 50% from the day before - the week. But only a week-on-week basis, actually, we've seen a nice recovery. As people got used to the situation and environment, actually the traffic pickup healthily from May compared to all the way on weekend. This you're looking at is actually the trending line, but actually on a week-on-week is picking up foremost a lot deeper. We think that the situation today where we are in the second of the Phase 2 heightened alert. We probably will see the cost situation. But of course, now we have seen a fair bit of very large number of infection case. Now still reporting above 100, there may be little bit dampener versus the Phase 1 where we actually seen the infection rate coming down. That gave a little bit of confidence, I think the by enlarge the public, and they start venturing out. So we think may not be a first week, two week effect. Hopefully, with the vaccination that will give a bit of confidence booster. So the question whether that will affect the second half? Given the convergence of the different factor, the number is still pretty high infection rate. But government's quite committed to look at a relaxation and a very differentiated approach for the vaccinated and non-vaccinated. I think that we'll have a little bit of a basic effect impact on the confidence of the retailer and the consumer. So we'll see how things panned out between now and hopefully by National Day hope to see some kind of clarity on where that will go out. But certainly, given that the vaccination rate is improving 1% every day. Today, I think we're probably 54% 55% fully vaccinated. I think we are probably in very good shape vis-à-vis country around the world. And that I think would be a good confidence booster for both foreign investors as well as the local retailer who are thinking about the special footprint. So I think there are few convergence impact. We hope that will give a little bit of flavor. We are still very confident, I think towards - the least fourth quarter where we are in the traditional high festive period, we will see a good nice ramp up in terms of trading environment.
Unidentified Analyst: How about the rental rebate and ?
Tee Hieong Tan: It's ongoing. I think we are reviewing. We will stay quite targeted. Of course, we also want to see what the government will come up with in terms of what is mandatory. But safe to say I think those that are deserving we'll definitely be dishing out. But we'll also be very disciplined, ensuring that there's equal sharing of pain between the landlord and the retailer.
Unidentified Analyst: Would you slightly be similar level? What you picked up in second quarter?
Tee Hieong Tan: Hard to say. It could be a slight - maybe it could be on par maybe S$20,000-S$30 million ballpark number potentially that we're done now. But of course this is just pure rental rebate. I think we have been also reaching out to tenants in different forms and helping them with sales, helping them with a bill restructuring the rent. There were in fact some part of the reversion number that you see that are very important. So it comes in different form, not just an outright on line rent that you see.
Unidentified Analyst: Thank you. I've been using a capital stats.
Tee Hieong Tan: Yeah. I think me too. We're using it.
Unidentified Analyst: All right. Maybe just moving on to the office portfolio. Could you give us a sense on the ceiling of your Atrium , JP Morgan space? And also, you're expecting pricing?
Tee Hieong Tan: I think the key thing we need to do now with is of course, the like very rightfully mentioned, the JPM, the eCapita Tower, the Atrium Space those departing ones, in fact all departed ones. The backfilling of space, those are the key areas that we're working on. I mean, they are interest bearing. But it doesn't really help with this heightened alert situation now. So actually, it's one big component. We have seen a little bit of a slowing back as a result of this tightening, the latest tightening measures. But I hope things will resume back normal. But there are RFP are working on whether it's Capita Tower replacement for JPM or Atrium space, no remaining space in Atrium. In fact, even space partially vacated space for Mizuho. I think there are interest. At the same time CapitaSpring that we are ramping up in the development side. I think we have seen the uptick in committed occupancy. We will hope the situation around the world also improved further. Because a lot of - sometimes decision has been delayed because of office had been impacted by the COVID and some decisions has been delayed. And we get requests to extend the lease for one-two years in kind of situation while they think through their overall space requirement. So it's a little bit of effect as well. But hopefully we think that they're more positive by the quarter. But overall, I would say that leasing momentum is keeping pace slow down a little bit. But overall, I think it's still healthy. As you probably can see some various report from the consultant, market readiness has stabilized a little bit. Naturally, I think that's a good reflection of whether the market is, yeah.
Unidentified Analyst: Would you be able to extend like backfilling is still very small or is it like 20%, 30% 50%?
Tee Hieong Tan: Which one again, backfilling of Atrium space?
Unidentified Analyst: Yeah. Atrium and JPM. Yeah.
Tee Hieong Tan: In the different form, I think they comes in different form. Discussion can be major media or it can be a different split floor, that's under discussion. So I think we are not prepared to review anything yet.
Unidentified Analyst: Okay. Sounds great. Many one more last question on your portfolio, reconceptualizing your peers have been quite active in the transaction itself. So your thoughts there, would you follow suit with your competitors? And what do you think of your - the remaining sponsor asset that's sitting in your sponsor pipeline?
Tee Hieong Tan: So we want to be active, we find the right moment. So obviously, I think we are ready in a way. It's just finding the right moment yeah.
Unidentified Analyst: The Japanese? What can you say?
Mei Peng Ho: Thank you, Rachel.
Unidentified Analyst: Okay, thank you very much.
Mei Peng Ho: Yeah. So next, we will have Gula  from the Edge.
Unidentified Analyst: Hi, Tony. Thanks for having. I've got  echoing. I've got three questions. Can I ask the portfolio reconstitution question in a different way? What portion of your portfolio would have a redevelopment potential? In terms of - you just could give us a rough sort of idea in terms of the number of properties GFA dollar, what you're comfortable with? And then for divestments, what sort of exit yield would you be looking at? And then specifically for the Commerzbank property. So I just wondered why they exercised early determination? And how does that affect the valuation of that building? Will it be dropped, because was it earlier valued at a longer lease? So those are the questions. And just one thing on the retail side. What portion would you say is your GTO now with your new leasing structure? That's it.
Tee Hieong Tan: What's the second question again? I know that there was Commerzbank. Second one was? Exit yield?
Unidentified Analyst: Second one was exit yield on divestments. Yeah.
Tee Hieong Tan: So I think redevelopment is a question of timing. Some projects not the best time now look at the redevelopment. Given the uncertain situation on the construction industry, I think there's a level of challenge over there, you probably know about it. So there are a few projects, I don't think I want to name that we have done some study. But the cost structure may not be right at the moment. And hopefully, over time, the urban planner, the authority will also have to relook at the in terms of land usage around Singapore, and what kind of policy and strategy they have going forward. That will affect the pricing. Though the current GFA, we are able to secure. So those are also important elements that make that decision to redevelop very important. Yeah, so at the end of financial analysis on all those factors, I think will be quite critical. So it's safe to say there'll be the potential downtown one as well as suburban ones. Exit U, depends on what. I think is very misleading to get an exit view if we were to exit our property today based on, I think naturally the view below. And also it depends on what kind of property you're looking at. So, I don't want to pinpoint a number. Our transaction out there in a market, whether it's retail or office, I think you can make a little bit of reference there, but I think each property are unique. The potential are different. So, let me give you an example. Depends on that specific asset and whether the asset and the buyer - so there will be a conflict congruence of factors right the stars align, your buyer will look at situation they do their own analysis. They think they could value at in a different way or and they price it quite differently. So we have seen transaction in the market, at sub-3% range. But a lot of that actually come with a value angle. So it's misleading. If you look at just purely on exit view perspective. But also be buyer who think that okay, capital preservation is key. They don't care about anything else, capital preservation is key. They could also be transacting at a very low exit view. Even on a stabilized operational environment, that you may still pretty low. So, there could be a situation like that. There could be a situation where the asset is mature, very stabilized, maybe the upside is limited, unless it's a change in the policy, but authority. Then that the view for current set maybe on a forward-looking basis pretty straight line. Certain investors will think that this is the current portfolio you want stability, no volatility. There could be a case like that. Exit view may be quite different as well. So very difficult to pinpoint. And of course, retail and office and in fact mixed use product will be quite different. Commerzbank, we are looking at different options. I think we have some time during 2024 expiry. We have started to in fact getting a consultant to look at it. Whether it is a single lead multiple lead, what kind of capital investment may be required. I mean, these are still in the feasibility study stage now. So those situation or potential could be possibility. So at this moment, we don't have anything more to share. Retail GTO, I don't think it will be a very big component. Overall, I think we guided is still going to be about 5% to 7% overall of total rental income. I don't think it would be huge component. While we are guided by the code of conduct, in terms of how we can structure the leases, and specifically on the rent structure, where the all component on the standard template is not allowed. But on a mutually agreed basis between the landlord retail, you can still put in the all component. So you can have a typically structure with a plus GTO and all component GTO, whichever is higher to be part of the overall the structure provided both parties agreed to it. And we have negotiated leases notwithstanding the COCs in play. There are still having that three component together. So how that will pan out hard to say it's all about us. I give you a very simple example, if we were to take a very extreme, which we had done so for certain leases. We essentially charge very low fixed rate - more or less, it's just recovering on our service charge. And we charge turnover component for period of time. So relative overall, the turnover component may look very high for some leases. So if you look at a just a snapshot on one particular tenant, then his or her share of the GTO component of his total rent, it looks high. Because we have done some restructuring. But we're looking at the base effect. Overall as a portfolio, this is not something we're steering towards to. And turnover rent eventually will translate to fixed rent. If a tenant does well and we put through this cycle, when it comes to renewal, the fixed rate will adjust. So it is a moving target. But safe to say I don't to deviate too far from five - I think even hitting 8%-9% will be quite remote.
Unidentified Analyst: Okay, thanks. And I just want to ask. You used to do half year evaluation, but you didn't do that for the first half, did you? Is there a reason?
Tee Hieong Tan: So overall, of course, this is all together with the entire suite of capital lens. And these are decision taken collectively. We think that half year is sufficient. We don't think there's a significant movement. Bear in mind the today's market, I think you can see for yourself, no doubt there are potential impact coming from the rent decline, but also compensate the effect coming from a low interest rate environment, flood of liquidity, no transaction in the market has been mostly above where the valuation is. So I think we take a lot comfort that I don't think the movement is huge. Yeah. So we'll continue with our annual valuation exercise. Of course, there are internal procedures that we need to do to our own internal assessment and that we need to give comfort above that the valuation number has not deviate too far. It's not material.
Mei Peng Ho: Thanks. Before we jump to Mervin, there are also a couple of questions on the webcast is relating Commerzbank. So I think we will just address them together here. So Jonathan Ko from EOB , he's asking that for the early termination by Commerzbank, are we able to share the reason for them vacating? And then whether there's any one-off penalty, if there is, when will it be recognized? So there's Jonathan's question. And then there's Lisa, who also asked about Commerzbank, whether they are the single tenant? And when we explore the plans, are we gearing more towards having it multitalented or it continues to be more anchored tenant-heavy? And I think Mervin was asking the last question about Commerzbank is that Galileo. Whether the passing rent of Galileo compared to market? How does Galileo's passing when compared market rents? And any expected loss in NLE if we need to cover up the space or the cut up the space previously occupied by the Commerzbank?
Tee Hieong Tan: So many questions. Okay, Commerzbank, they are going through some consolidation. So I think it's not just all in Galileo where they looking at consolidating. I mean essentially, they are looking at their overall footprint in Frankfurt, and in many other cities as well. So this falls under one of those property where they lease, they don't own. I mean Commerzbank do have their own real estate. And of course they've done their own internal assessment. So that's been the reason they tried to consolidate the space in the footprint. No penalty. I think this is all within the contractual terms. They have the right to have a little nation. You need to serve a notice. Two year notice, and they have done so. As to whether it's going to be single tenant, multiple tenant. I think this is something that we are looking into, that I mentioned earlier. We're getting the - we're doing the feasibility study, whether it's single tenant or multiple tenant. We do also have to inquiry. Once the news is known that Commerzbank decided to leave Galileo, we do get inquiries whether or not we are interested to lease up. So I think we're still going through the exercise. And I think we will definitely will share once we have something more affirmative. I think a question about passing rate expected loss is really also relates to eventually. Mervin's question was passing rate versus market rent. I will say it is quite on par with market rent, passing rent. And, of course the situation on headline rent and passing when is evolving depending on the demand supply dynamics over there. But I think at the current moment, with the German economy retaking up and it has opened up again. The situation has stabilized a little bit. During the intense lockdown, there was softening, there were softening demand. But now with things seems to be picking up again, it seems to have recovered a bit. So I wouldn't give you how the forward market will look like, which is why we need to get a study done to get a consultant whether we look at multiple lead bases or single lead, multiple lead, what does it mean from a NOI perspective and whether effectively - overall the effective rent is more favorable under what's the situation Yeah, so I think unfortunately we cancel your question. But it's actually linked to eventually how we decide whether we want to do a single or multi lead.
Mei Peng Ho: Okay, now we let Mervin from JPM to ask his other questions face-to-face.
Mervin Song: Yeah, thanks, Tony on the Commerzbank questions. Maybe turn to the Singapore office market. Obviously, there's a bit of big space coming up send the chart ourselves at Capital Tower and Allianz . But are you seeing many large request for large spaces or is it smaller tenants at this point in time?
Tee Hieong Tan: Large space like JPM get current size, no. So mostly smaller. Of course, JPM occupying multiple floors in Capital Tower. So even if you have to decide how you want to split up the space, there could be a situation done on floor-by-floor basis, or it could be a situation within the floor, they may have to split. So I think they're still assessing the various RFP that we're looking at. Yeah.
Mervin Song: And with this uncertainty over Chinese regulation, do you anticipate any slowdown in Chinese tech demand in Singapore going forward?
Tee Hieong Tan: I think too early to say. I'm not sure whether - I mean, the strategy, of course, quite different. Coming to Singapore is - I think it's a base for them to look at expansion beyond just China, in Southeast Asia markets. So I think it's too early to say. It potentially could be a mixed bag. I can't comment, I think it is something that needs to be played out. And, of course we know that the news about the recent policy change in China, whether there will be a little bit of moderation subsequent to that not sure. Already I can commend that they're trying to walk back so the things that they are doing right. So too early to say.
Mervin Song: Okay, thanks.
Tee Hieong Tan: Any of these tech company, those who decided to move here, you probably also hint here that they are actually putting themselves in some of the co-working space while waiting for the situation to perhaps stabilize. So a co-working space seems a bit of a healthy inquiry. I mean, we do have a co-working space operator that we work with very closely.
Mei Peng Ho: Okay. Thank you, Mervin. Next, we will have direct Derek Tan from DBS.
Derek Tan: Hi. Good morning. Thanks Mei Peng. Tony, good morning. I just want to have two questions on retail if I can. First one is your thoughts on the fact that we this Phase 2 heighten have been happening again, do you reckon that the tenants in our portfolio, that may just throw in the Tower. And you reckon that your rebate will go beyond 3Q and going to 4Q? That's my first question.
Tee Hieong Tan: Second?
Derek Tan: Second question, if we look at Funan. So it's fairly unfortunate that we had COVID in your first renewal cycle. So I just wondering, what are your thoughts on the tenant demand there? And you reckon that there will be a fairly big reset in terms of rentals there? And are we looking at the big tenant remix then? So that's what I have.
Tee Hieong Tan: Okay. Whether tenant would throw in is a function what kind of measures will be announced in terms of support. But nevertheless, I think, even with support, I think there definitely will be casualties. I think that's for sure. Because not everybody would be able in a position to dip into their reserve. So all depends on situation. I think government came out with their own measures, we are looking at more details in terms of what will be mandated. I think, on our own we have been helping our tenants in the different forms that I mentioned earlier, whether it's already paid via rent restructure, little bit of repayment scheme for them to write on. So a combination of many things that we reaching out. I think potentially there may be some in terms of tenant maturing, but I don't think it's going to be big one. Funan renewal, you're right. We're entering our first renewal cycle, whether there be a reset. First cycle, we have few big space that we need to deal with. I think we are under discussion with them. The thing that could be a bit of reversion number coming off, but to begin with, Funan we were not in the first lease. It was under a relatively low rent base. So we don't anticipate that that to be too significant. We have to make our rent adjustment.
Derek Tan: Okay, thank you very much.
Tee Hieong Tan: Of a lower base over there.
Derek Tan: Okay, thanks.
Mei Peng Ho: Okay, thank you. Thank you, Derek. We have a couple of questions from the webcast is relating to the retail operations. So I think a couple of straightforward ones. Someone's asking what does the rental waiver of S$19 million translate to in terms of number of months of the retail rent. That's the first question. Second question is what proportion of our retail leases have an annual step up and what is the percentage of the increase per year. And then from Nicholas Te of Credit Suisse and also Donald Tra, I think they are asking about the trends. Because I think they - Donald commented that I think Q-on-Q some of the malls have seen quite impacted. So they would like to understand a bit on the reasons and trends?
Tee Hieong Tan: Okay. S$19 million translate about 0.3 something by country. Look at this in isolation. This is all right. Of course we have been also giving rent as part of the overall consideration that we're willing to see in the headline. But if you will just look at the S$19 million is outrights of about 0.3 months thereabouts. And no step up. There will be variation depends on whether were you locking up for first year. You have a first year with the 30%-40% decline. Naturally the step up may go higher. But if you have more moderated step down, then the step up will also be moderated. So I think that's the general principle. Trend on Q-on-Q. Second Q --later part of second Q will probably be similar to the early part of the Q, which is where we are now. Hopefully the early part the Q will be a bit short lived, which - I mean we are all looking forward to what kind of relaxation measures that the government announced in terms of how do you want to treat the vaccinated and unvaccinated? I think that will affect the way all your operating metrics, the returning of people and the tenant sales et cetera. So my sense is for my trajectory. Second Q early to be monitored, probably flatline hopefully by second half of August and into September, we'll see a nice uplift. Hopefully, we'll enter into the 4Q we will be hopefully we're in the sub regime hopefully.
Mei Peng Ho: I think then there is also a question from Joy, of HSBC, asking whether that the reason P2HA impacted the starting date for lease or some of the major leases? I think they're mentioning about JPM at CapitaSpring and rework at 21 Collyer Quay. So, the question is, do you see longer void period for office than usual? That's first question. Second question is construction cost has risen. Do we see any change in the required return for AEI? And when do we think we will start to revisit major AEIs.
Tee Hieong Tan: Longer tenure for AEI?
Mei Peng Ho: No, when do we think we will start to revisit major AEI?
Tee Hieong Tan: Okay. Longer void period as a result heightened. I think the work is ongoing. So, it depends on at least for our own project, those that are already known. There is a delay is already known, because the construction work, labor supply issue. Most of the projects are already on late stage. So, I will say what we mentioned by end of the year competition nothing so far, we are still on track. For those projects that are yet to be started. Of course, then there will be a big question mark no depends on how big your scale depends on how complex, what kind of level of labor forces you will require? At what stage and point in time that may affect the duration of the projects. So you will be very project-specific in terms of duration as a result of void period. And relating to the question on top of the AEI right. We actually started to look at a few. Safe to say some assets are little bit on higher urgency than others. I think we are looking at it, you probably know and we're looking at property. We're looking at space vacated by Robinson's. These are the two more prominent ones that require a little bit of action. We are already at quite late-stage intermodal hosting assessment. And we will definitely share when we are ready. So those are ongoing asset AEI work that we're planned. Beyond that a commerce space that we talked about, those potentially may lead to an AEI depends on our - different form of AEI or different scale of AEI. So that that's something that we're working in on. Other smaller ones is ongoing, reconfiguring your space where tender depart know whether you should combine a space this, those are ongoing. I think those small scales which shouldn't be too affected.
Mei Peng Ho: Okay, thank you, Tony. Maybe just one last question is regarding green loans. Steve Chen is asking, what's the proportion of green loans in our retail asset loan portfolio?
Tee Hieong Tan: Percentage.
Mei Peng Ho:
Cindy Chew Sze Yung: I don't really have the exact number. Maybe is something that we can get back to you on this?
Mei Peng Ho: Portfolio basis.
Cindy Chew Sze Yung: Really. I really don't have that, thanks.
Mei Peng Ho: Okay, thank you. Tony. I think we have cleared most of the questions on the webcast. And I see that on the MS Team, I think Gula you have asked your questions. So I think there's no more question. So thank you very much, everyone, for your presence today online. Thank you, Tony.
Tee Hieong Tan: Thanks a lot. Stay safe. See you soon.
Mei Peng Ho: Thank you.